Operator: Greetings, and welcome to Installed Building Products Fourth Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Darren Hicks, VP-Investor Relations. Thank you. Mr. Hicks, you may begin.
Darren Hicks: Good morning, and welcome to Installed Building Products Fourth Quarter 2025 Earnings Conference Call. Earlier today, we issued a press release on our financial results for the 2025 fourth quarter and fiscal year, which can be found in the Investor Relations section of our website. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements within the meaning of federal securities laws. These forward-looking statements are based on management's current beliefs and expectations and are subject to factors that could cause actual results to differ materially from those described today. Please refer to our SEC filings for cautionary statements and risk factors. We undertake no duty or obligation to update any forward-looking statement as a result of new information or future events, except as required by federal securities laws. In addition, management refers to certain non-GAAP and adjusted financial measures on this call. You can find a reconciliation of such non-GAAP measures to the nearest GAAP equivalent in the company's earnings release and investor presentation, both of which are available in the Investor Relations section of our website. This morning's conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer; Michael Miller, our Chief Financial Officer; and we are also joined by Jason Niswonger, our Chief Administrative and Sustainability Officer. Jeff, I will now turn the call over to you.
Jeffrey Edwards: Thanks, Darren, and good morning to everyone joining us today. As usual, I will start the call with some highlights and then turn the call over to Michael, who will discuss our financial results in more detail before we take your questions. We closed out 2025 with a strong fourth quarter, delivering record sales and profitability for the year. While our core residential end markets experienced headwinds in part due to housing affordability, our commercial end markets performed extremely well as we focused on meeting the needs of our customers, profitability and product diversification across end markets. We continue to generate strong operating cash flow, which we use to support our growth-oriented capital allocation strategy. While we expect homebuilding activity to remain challenging in the near term, the long-term outlook for our installed services remains positive, and we believe we are well positioned to continue investing in strategic acquisitions while returning cash to our shareholders. Capital allocation decisions are among the most important we make as a company, and we take pride in our disciplined approach. For 2025, our adjusted return on invested capital was 24%, in line with the returns achieved over the previous 3 years. Even with industry-specific headwinds expected to continue to affect our new residential Insulation segment in the near term, our overall business has proved to be resilient. All the credit goes to the hard-working men and women across our more than 250 branches throughout the United States and those who support them from our office in Columbus, Ohio. To everyone at IBP, thank you for making 2025 a great year. As we continue to focus on profitable growth and maximizing returns for our shareholders, we remain committed to doing the right thing for our employees, customers and communities. Looking at our full year 2025 performance, consolidated sales increased 1% and same-branch sales declined 1%. Same-branch commercial sales growth was more than offset by residential same-branch sales growth headwinds. Residential sales growth within our Installation segment was down 4% on a same-branch basis for 2025 as both single-family and multifamily same-branch sales decreased from the prior year. With respect to our single-family end market, the spring selling season is underway, but it's too early to draw any conclusions for the rest of the year. We expect that given readily available labor and material and relatively short construction cycle times, construction activity is primed to accelerate without any of the production-related hurdles that existed in prior years. In our multifamily end market, our contract backlog continues to grow, which is encouraging. Our commercial end market was a real bright spot in 2025 with sales in our Installation segment up 10% on a same branch basis from the prior year period. Our heavy commercial end market continued to be the dominant driver of sales growth, which more than offset weakness in our light commercial end market. Based on the growth in our heavy commercial contract backlogs, we believe heavy commercial sales and profitability are poised to remain healthy in 2026. We completed 11 acquisitions, including bolt-ons during 2025, representing over $64 million of annual revenue. We remain disciplined in our approach to acquiring well-run businesses that make strategic sense, support attractive returns on invested capital and fit well culturally. Our core residential installation end market remains highly fragmented with considerable opportunity for consolidation. During the 2025 fourth quarter, we completed a total of 4 acquisitions, representing over $23 million of annual sales from a diverse product set in both residential and commercial end markets. Acquisitions included an insulation installer, a glass design and fabrication company, a drywall and framing company and a shower doors, shelving, mirrors, and accessories company. In addition, in January and February, we acquired an installer of insulation across new residential and commercial end markets throughout Texas, Louisiana, Arkansas, and Oklahoma with annual sales of approximately $5 million; a provider of a wide range of value-added mechanical insulation services for diverse commercial and industrial applications serving key commercial and industrial hubs across Wisconsin, Iowa, Minnesota, Michigan and Illinois with annual sales of approximately $13 million; and an installer of insulation primarily across new residential and light commercial markets throughout Kansas and Oklahoma with annual sales of approximately $3 million. Although deal timing is hard to predict, our current outlook for acquisition opportunities in 2026 is strong, and we expect to acquire at least $100 million of annual revenue this year. In terms of broader housing construction activity in the U.S., Census Bureau data for 2025 showed single-family starts decreased 7% from the prior year, while multifamily starts were up 18% for the same period. From a federal housing policy standpoint, we do not have any unique insight into the likelihood of changes in regulation coming to fruition or its potential impact or benefit. Our experienced leadership team has a history of operating through multiple housing cycles, and with our strong national market share and deep customer and supplier relationships, we are well positioned to continue to compete and win business. We remain focused on growing our operations profitably and allocating capital effectively to drive value for our shareholders. I'm proud of our team's continued success and commitment to doing an excellent job for our customers. Once again, to everyone at IBP, thank you. I remain encouraged by the fundamentals of our industry, our competitive positioning, and I'm optimistic about the prospects ahead for IBP and the broader insulation and complementary building product installation business. So, with this overview, I'd like to turn the call over to Michael to provide more detail on our fourth quarter and fiscal year 2025 financial results.
Michael Miller: Thank you, Jeff, and good morning, everyone. Consolidated net revenue for the fourth quarter was roughly flat at $748 million compared to $750 million for the same period last year. Same-branch sales for the Installation segment were down 2% for the fourth quarter as a 23% increase in commercial same-branch sales almost fully offset a 9% decline in new residential same branch sales. Although the components behind our price/mix and volume disclosures have several moving parts that are difficult to forecast and quantify, we reported a 1.7% increase in price/mix during the fourth quarter. This result was offset by a 9.3% decrease in job volumes relative to the fourth quarter last year. It is important to note that our heavy commercial end market and the other Distribution and Manufacturing segment results are not included in the price/mix and volume disclosures. Our heavy commercial same-branch sales growth was incredibly strong at 38% during the 2025 fourth quarter. Including the heavy commercial installation sales, price/mix increased 6%, while job volume decreased 9% during the 2025 fourth quarter. With respect to profit margins in the fourth quarter, our business achieved record adjusted gross margin of 35%, an increase from 33.6% in the prior year period. The year-over-year increase in margin during the quarter was in part related to a shift in our Installation segment customer mix and successful management of direct operating costs in a demand environment that varied from challenging to healthy across end markets. Adjusted selling and administrative expenses were relatively stable compared to the 2024 fourth quarter. As a percent of fourth quarter sales, adjusted selling and administrative expense was 18.3% compared to 18.1% in the prior year period. Adjusted EBITDA for the 2025 fourth quarter increased to a record $142 million, reflecting a record adjusted EBITDA margin of 19% and adjusted net income increased to $88 million or $3.24 per diluted share. Although we do not provide comprehensive financial guidance, based on recent acquisitions, we expect first quarter and full year 2026 amortization expense of approximately $10 million and $38 million, respectively. We would expect these estimates to change with any acquisitions we complete in future periods. Also, we continue to expect an effective tax rate of 25% to 27% for the full year ending December 31, 2026. For the 12 months ended December 31, 2025, we generated $371 million in cash flow from operations. The 9% year-over-year increase in operating cash flow was primarily associated with an increase in net income and improvements in working capital management. Our fourth quarter net interest expense was $8 million compared to $9 million for the 2024 fourth quarter as higher interest income from investments combined with lower cash interest expense on outstanding debt. At December 31, 2025, we had a net debt to trailing 12-month adjusted EBITDA leverage ratio of 1.1x compared to 1.09x at December 31, 2024, which remains well below our stated target of 2x. At December 31, 2025, we had $377 million in working capital, excluding cash and cash equivalents. Capital expenditures and total incurred finance leases for the 3 months ended December 31, 2025, were approximately $17 million combined, which was approximately 2% of revenue. In January 2026, we closed a private offering of $500 million in aggregate principal amount of 5.625% senior unsecured notes due 2034. A portion of the proceeds were used to fully repay our $300 million notes due 2028. We also amended our existing $250 million asset-based lending revolving credit facility to, among other things, increase the commitments thereunder to $375 million and extend the maturity date to January 2031. Following the completion of these transactions, we have nearly $900 million in available liquidity and very modest financial leverage. Based on higher debt and cash balances, we estimate that first quarter interest expense will be approximately $11 million. With an even stronger liquidity position as a financial foundation, we will continue to prioritize acquisitions with long-term strategic benefits and attractive returns on invested capital. We expect positive free cash flow will continue to support shareholder returns and stock buybacks based on prevailing market conditions. During the 2025 fourth quarter, we repurchased 150,000 shares of common stock at a total cost of $38 million and 850,000 shares at a total cost of $173 million during the 12 months ended December 31, 2025. The Board of Directors authorized a new $500 million stock buyback program. The new authorization replaces the previous program and is in effect through March 1, 2027. IBP's Board of Directors approved the first quarter dividend of $0.39 per share, which is payable on March 31, 2026, to stockholders of record on March 13, 2026. The first quarter dividend represents a more than 5% increase over the prior year period. Also, as a part of our established dividend policy, today, we announced that our Board has declared $1.80 per share annual variable dividend, which is a nearly 6% increase over the variable dividend we paid last year. The 2026 variable dividend amount was based on the cash flow generated by our operations with consideration for planned cash obligations, acquisitions and other factors as determined by the Board. The variable dividend will be paid concurrent with the regular quarterly dividend on March 31, 2026, to stockholders of record on March 13, 2026. We are committed to continuing to grow the company while returning excess capital to shareholders through our dividend policy and opportunistic share repurchases. With this overview, I will now turn the call back to Jeff for closing remarks.
Jeffrey Edwards: Thanks, Michael. I'd like to conclude our prepared remarks by once again thanking IBP employees for their hard work and commitment to our company. Our success over the years is made possible because of you. Operator, let's open up the call for questions.
Operator: [Operator Instructions] The first question comes from the line of Philip Ng with Jefferies.
Philip Ng: Congrats on a really strong quarter in a not easy environment. Your gross margin and EBITDA margin expanded nicely this year. So, pretty impressive. But in this current backdrop, when we look out to 2026, what's your confidence in protecting margins? Your largest competitor just reported results, they're calling out perhaps low single-digit price deflation in '26 and some price cost headwinds. So, how should we think about it as it relates to IBP?
Michael Miller: Phil, this is Michael. Thanks for the compliment. We certainly are extremely proud with what the team has delivered not just in the fourth quarter, but this year. I mean, as it relates to margins, particularly gross margins, and I'll say at least probably 10 times today, like I do on every call, we don't provide guidance. But what I would say is that, as we look across the business, and we look at how well the commercial business is performing, we believe it will continue to do that. The other segment, which is the Manufacturing and Distribution segment is continuing to perform very well, and we think it will continue to do that. When we look at the core residential installation business, we really think of it as in 2 buckets. So, the first bucket being the regional private, move-up, custom, semi-custom builder. And we're really seeing relatively consistent demand there, which is -- we've seen that through really most of '25. And going into '26 as well, although clearly, which is something I'm sure we'll talk about on the call today, clearly, the year is off to a slow start, given some of the weather-related issues that have been experienced across the country. And so, what I would say is that where there's weakness and where there's pressure is within the entry-level production builder segment of our business. And right now, I think it's way too early to call whether or not there's an inflection and there will be an inflection in the spring selling season. Something that was a little bit encouraging, I would say, is that in the recent information released by the Census Bureau, if you look at single-family starts on a seasonally adjusted annualized rate, right? So, in the fourth quarter, those starts averaged about 6% higher than they did in the third quarter. Again, that was the seasonally adjusted annualized rate. So, that's a positive. And I think commentary from companies in our space that have reported have noted or highlighted that the production builders really decreased and slowed down their building in the fourth quarter in order for their standing inventory to catch up to demand. It's our belief that if the market is sort of flattish and we don't see an inflection on the entry-level side, that there'll probably be some level of rebuilding of those inventories. This continues to be a market where builders at the entry-level market are building spec. And we do believe there will be some recovery, if you will, in starts there that will be constructive. But as we look out from a macro perspective and sort of look at, again, that entry-level market, the affordability issue is still a real issue. And it's yet to be seen whether or not it is going to inflect positively this year and just how much it's going to inflect positively. If you look at -- I'm giving too much information on this one question, sorry. But I mean, if you'd look at what the public builders have disclosed from their guidance, I mean, they're talking about a pretty weak first quarter and really first half with an inflection -- pretty strong positive inflection in the back half of the year. Now obviously, we all know that's off of easy comps that helps drive that. But we think it's relatively constructive. And so, yes, I'm sorry if that was too much information on that one question.
Philip Ng: No, that's great color, Michael. And then your commercial business has been a bright spot, right? It's growing nicely. It's a business you've improved and enhanced profitability. Is that an area where you guys can get behind a little more so from an investment standpoint, whether it's M&A or organic? Just kind of help us think through the opportunity set there, your ability to kind of continue to drive momentum? And do you plan to put a little more capital there to kind of support the growth?
Jeffrey Edwards: Phil, this is Jeff. I would say, for sure, we'll -- as we always are, we'll be opportunistic as the situation kind of offers or demands. There is room for both organic growth and M&A growth. We haven't pursued it that hard yet because, quite frankly, we've been growing the base business enough where that hasn't been really tightening the screws. So, at this point, we feel very, very good about the business, and we do feel good about growth prospects going forward.
Philip Ng: Okay. But Jeff, why haven't you put more thought or capital there? I mean, the base business has been a little squishier and this seems like a nice bright spot, and there's a lot of runway for heavy commercial, I think, for most companies that we cover.
Jeffrey Edwards: I think it's really been probably the last 2 at most 3 quarters where we felt like it was really, really in a position where we didn't need to kind of continue to work the base business. But I think at this point, I'd say we're ready to try to grow that business. Well more than just organically because we've had a heck of a lot of growth really from an organic perspective.
Michael Miller: Yes. And I think to Jeff's point, I mean, the key is that, that growth has been phenomenal, and it's not just been growth. It's been very profitable growth. And we wanted to make sure the team was ready to do additional acquisitions. The last thing we would want to do is kind of mess up their day, if you will, through the integration process of an acquisition and have them take the eye off the ball of the existing business. So, to Jeff's point, the past couple of quarters, we feel really confident that they've gotten to that point.
Operator: Next question comes from the line of Stephen Kim with Evercore ISI.
Aatish Shah: This is Aatish on for Stephen. I just want to talk about -- if you could talk about the M&A landscape? And has there been any change in terms of strategy in terms of what kind of companies could be targeted, specifically on that, just given interest from your largest competitor, has the commercial roofing market been an area of consideration?
Jeffrey Edwards: Yes. This is Jeff again. As we've stated, I think, in previous calls, yes, we're definitely interested in the commercial roofing segment. And as you probably noted, we've done a few mechanical and industrial installation installers, and that's another area that we're interested in. So -- but again, I think we're on record previously as saying that we were interested in that business. So, I don't think it's a change in strategy. What I would say is that we've begun to really perform on those strategies a bit. But fundamentally, our core residential insulation installation business still presents tremendous opportunity for us, and we continue to pursue that area significantly just because we still have so much wide-open space as a company to acquire in that core business for us. So, it really is, if you will, a 3-legged stool in terms of our strategy there.
Aatish Shah: That's helpful. And then, in the prepared remarks, you mentioned kind of a shift in customer mix in the Installation segment. Can you just detail that a little bit?
Jeffrey Edwards: Yes. And just to clarify, that wasn't just insulation, it was the Installation business, so the kind of the residential installation business. And because we're continuing to see better sales rates with the semi-custom, custom builder and weaker sales rates with the production builder entry-level builder, that has a natural tendency, if you will, to improve and help gross margin. I mean just as a -- for example, during -- and this is based on the Census Bureau regions. But during the quarter, our Midwest Census Bureau region revenue was up mid-single digits, right? So -- and that market for us is -- it's, generally speaking, a higher gross margin market because of the higher amount of private semi-custom, custom homes that are built in that market. So, we definitely benefited in the quarter from our geographic mix as well as our customer mix from a gross margin and a profitability perspective. And I need to emphasize something that's very important is that our teams in the other regions of the country did an excellent job of maintaining profitability across the board with our customers and really highlighting and selling well to our customers the importance and quality of our installed services. And hats off to those -- to everyone in the field for doing such a great job.
Operator: Next question comes from the line of Susan Maklari with Goldman Sachs.
Susan Maklari: Let me add my congrats on a great quarter, guys. Well done. My first question is, talking about the growth that you've seen in the complementary products. That's something that you've really focused on recently. Can you talk about where we are in that process? And as you think about 2026 and the comps that you're going to face there, are there any implications we should be thinking about as that relates to the path for margins or for the growth that you're going to see coming through?
Michael Miller: Yes. Sue, this is Michael. I mean, we have continued to see good uptake in the complementary products. The one thing I will say is, in the way that we sort of disclose those numbers in our investor PowerPoint, there's quite a bit of the complementary products that are related to the heavy commercial business. So that skews some of it. But I would say if we -- when we look at the information and we take out the heavy commercial business and look at just the complementary product sales growth and margin growth within the installed segment, again, excluding the heavy commercial business, it continues to improve, and we believe that we'll continue to see good uptake on the complementary product side. As we've talked several times, the lack of opportunity or the softness in the single-family market really helps drive uptake of the complementary products within the branches. Because compensation is so closely tied to profitability within the organization, the salespeople, the branch managers, the people that are running our branches are really focused on -- more focused on the complementary product opportunity when the insulation opportunity is a little bit softer, particularly at that production builder level. And within the production builders at the entry level, we do have very good complementary product penetration because of some of those efforts.
Susan Maklari: Okay. That's great color. And then, you mentioned that you've recently done some more deals in the mechanical space. Can you talk about your interest there, where you are in that process? How we should think about what that could mean for the future of the business? And then maybe with that, any comments on your efforts to build out distribution as well and just where we are there?
Jeffrey Edwards: Yes, Susan, this is Jeff. So, we definitely -- as Michael said, I mean, I guess if you wanted to consider it a third leg, we look at the mechanical and industrial as a huge opportunity for us. It's a business that's extremely fragmented. I would say, on average, the prospective businesses that we've looked at have been a little larger than what we see typically at some of our other kind of regular way acquisitions, and margins are very favorable in terms of overall for the company. So, we -- at this point, obviously, we think we'd love to find a little bigger business and kind of build out a platform. So, we'll see what the future brings, but that's definitely something that we're looking at. And on the internal distribution or the distribution side of the business, we've been very pleased with the progress we've made really in the last 2 quarters within that business. We -- at this point, I'd have to probably guess a bit, but I would bet that we are servicing 60% to 70% of our branches at this point from probably about 5 to 6 locations. And we have a few more to add. But otherwise, it's worked exactly as we thought it would, and it helped our margins.
Michael Miller: Yes, certainly our gross margin.
Operator: Next question comes from the line of Adam Baumgarten with Vertical Research Partners.
Adam Baumgarten: Just on the -- you mentioned some positive mix impacts on gross margin from the better growth in custom and semi-custom and some regional factors like the Midwest. But the strong growth in heavy commercial, did that also contribute to the gross margin expansion?
Michael Miller: Yes, absolutely. I think in the third quarter call, we sort of called out that we didn't expect that much of a tailwind, if you will, from the support or of the improvement -- profit improvement within the heavy commercial business. But I guess we were sandbagging a little bit there, quite frankly, because the heavy commercial business did continue its relative outperformance and we would estimate that the heavy commercial business added about 40 basis points or so to the gross margin improvement.
Adam Baumgarten: Okay. Got it. Great. That's helpful. And then, just digging into the heavy commercial strength, I mean, was it pretty broad-based? Are there certain verticals like maybe data center that were kind of outsized contributors? Or just kind of what you're seeing there maybe by an end market vertical perspective in heavy?
Michael Miller: Yes. And so, Brad Wheeler, our Chief Operating Officer, is here, and I'm going to have him add some color to this as well. But it's not data center related. I mean it's across the board with the big exception of high-rise multifamily. It's a lot of educational, it's health care, it's recreation, transportation. While we do some data center work, we don't chase it like other companies do.
Brad Wheeler: This is Brad. Yes, it's really -- we've maintained our core, right, the educational and the -- even some of the offices is back, which has helped. Manufacturing has increased, which is great. So, it's really us sticking to our core and taking advantage of any data centers that we have in our platform.
Operator: Next question comes from the line of Michael Rehaut with JPMorgan.
Michael Rehaut: I wanted to first kind of go back big picture a little bit with the gross margins. We've had many quarters now where you've really executed very strongly and kind of at or above that 32% to 34% range that you've talked about. There's also been, as you've highlighted, good improvement in commercial. You're benefiting from the mix on the semi-custom and the geographic. And I'm just wondering, with all those factors kind of benefiting the margin, if you've kind of given any thought to perhaps thinking about gross margins over the next couple of years, maybe above that 32% to 34%, particularly given the strength in the fourth quarter.
Michael Miller: Yes, that's a great question, and I'm glad that you asked it. We would -- it's our expectation that the gross margins would continue to be, particularly on a full year basis in that 32% to 34% range. As we were saying earlier to the answer to another question, I mean, fundamentally, when we look across the business, the only part that where we don't have really good visibility into either being flat or up is the production builder entry-level market. We believe when that market inflects and it will, we are very well positioned to participate in that upward inflection, but it will necessarily pressure gross margin just because that work is at a much lower gross margin. Now what it does come with is great OpEx leverage. So, it will improve -- it should improve OpEx leverage and improve EBITDA margins. So, right now, we're really just working hard to -- obviously, the parts of the business that are either flat or up, we're doing everything we can to maximize profitability there and positioning the business to really do well once that inflection happens. We really are confident about the team's ability to flex up to meet that demand when it comes. And it's way too early, as Jeff said in his prepared remarks, I mean, it's way too early in the spring selling season to say whether or not we're going to see the inflection this year. But I do think there is some opportunity with the production builders sort of rebuilding inventory, if you will, in the first half of the year.
Michael Rehaut: Okay. No, I appreciate those thoughts. I guess, secondly, I was hoping you could review where you are from a price/cost standpoint in the fourth quarter. And you just had your competitor out earlier this morning talk about anticipated price/cost headwinds for 2026. I was curious on your thoughts of how that dynamic you expect -- how you expect that dynamic to play out for you in '26 and if that might be a headwind as well relative to what you're seeing in your current results?
Michael Miller: Yes. I mean, certainly, at the entry-level part of the business, there's definitely price/cost pressure. The team is doing an excellent job of trying to manage through that. But there's definitely going to be pressure there until that entry-level aspect of the market inflects positively. But our team, again, I think they're doing a really good job of trying to manage that, but there's clearly pressure there for sure. And clearly, in the first quarter, we're going to have pressure from the weather. We estimated that in January and February that the weather impact was about $20 million to revenue in the first quarter. Now we're working to make that up, and we will work to make that up, but we're not going to be able to make that up in the month of March. It's just not going to happen. So, it's definitely making that up "is going to fall into the second quarter." So yes, we're going to face pricing pressure with our customers. But I think as a company, we know that we've done an excellent job, and we believe our results reflect our ability to effectively manage that price/cost pressure.
Michael Rehaut: So, is it fair to say then, Mike, that you're not -- you're expecting the pressure to continue, but maybe not incremental relative to what you're seeing already in your 4Q results?
Michael Miller: Yes. I think that's reasonable. Although the first quarter is always our weakest quarter, right? And the headwind that we have because of the weather impact, obviously, is going to be tough. But if we think of it, and we like to think of it on a full year basis as opposed to a quarterly basis, we feel good about what the team has been able to do. And if we have a flat to slightly down single-family market, excluding any acquisitions that we do, given the strength that we're seeing in the commercial business and the Manufacturing and Distribution business, we feel pretty good about the year in general, right? So, obviously, it's late February. It's hard to call a year at this point, but there's definitely reason to be pretty encouraged.
Operator: Next question comes from the line of Mike Dahl with RBC Capital Markets.
Michael Dahl: I want to take that last question and kind of flip it around and ask, in the fourth quarter, did you actually experience some effective price/cost benefits? I know there's a lot moving around in terms of mix and different types of mix, but it seemed like there was some opportunity for buyers such as yourselves to get some lower pricing on resi fiberglass in the fourth quarter and your reported pricing, again, understanding there's a lot of mix, but it was up. I'm just wondering if that -- if there was something like that, that actually also contributed to the gross margins because the heavy commercial disclosure was helpful, but margins being up 100 basis points year-on-year, even taking that aside is pretty impressive.
Michael Miller: Yes. I mean it is predominantly mix related and the team's ability to manage the cost structure as effectively as possible in the current environment. So, I think there's been a lot of discussion around fiberglass pricing, the fiberglass manufacturers. In our opinion, and I'll have Jeff or Brad talk a little bit more about this. I think they've done a good job of managing capacity relative to the demand environment and I think they've done an excellent job of maintaining price. And I think it's clear to us that what they're focused on is maintaining price in the current environment so that when there's an upward inflection, they can keep that price as opposed to lowering price now and making it more difficult to get price back when there is an upward inflection. But I don't know if you guys want to add anything to that.
Jeffrey Edwards: I think everything you said is accurate and I wouldn't add anything.
Michael Dahl: Okay. Got it. Appreciate that. Second question, just on the commercial side and heavy commercial, it's interesting the comments on maybe doing some more inorganically now. Just on the organic side, I mean, with this type of strength in same-branch sales and the backlog that you're seeing, when we think about like organic OpEx or capacity expansions, how are you thinking about that in 2026? Do you really need to start to do more to support the growth that you're seeing in that segment?
Michael Miller: Yes, that's a really good question given the growth rates that we're seeing. I mean, we clearly benefit from the highly variable cost structure. But I'll ask Brad to give some more commentary on our ability to bring up capacity to support the demand.
Brad Wheeler: Sure. This is Brad again. Yes. So, a lot of it -- we expanded our geographic area as well. And part of the organic growth strategy would be, we go get jobs in other markets where we generally aren't participating. We build a backlog. And then once we have settled, we have employees and installers in that area, we're able to go and open an office. And that's sort of how we have our strategy set up right now. In addition, we are looking at other markets throughout the country that we feel would be a good fit to organically grow there as well. And, obviously, of course, acquisitions as well.
Michael Miller: But our ability to flex both in the heavy commercial business, the light commercial business, all of the install businesses, our ability to flex up or down is very significant. I mean, obviously, we wouldn't disclose individual branch results, but there are some branches in Texas and Florida that have had pretty significant sales declines over the course of the year and particularly in the fourth quarter, but they have maintained their margins, right? And that speaks dramatically to the heavy variable cost structure of the business, and importantly, the manager's ability to manage effectively, right? One of the things that we believe, structurally, we benefit from is the highly variable compensation within the organization and particularly within the branch managers that provides a powerful incentive for them to manage the cost structure, whether that's managing it up or down based upon the volumes that they're seeing.
Operator: Next question comes from the line of Ken Zener with Seaport Research Partners.
Kenneth Zener: So, again, perhaps even more pronounced this quarter given your gross margin, the regional -- well, production builder versus your other bucket, right, has been affecting mix and you talked about margins, right, with customer mix, I think that's the same thing. Is there a way -- since you're disclosing so much, Michael, in terms of gross margin from commercial and they're up in res, is there a way for you to bucket the growth rates you're seeing in -- or the different rate of change within your production bucket versus your other regional bucket? [indiscernible] the magnitude is pretty good. I believe you said the regional you see flat or up, if I heard you correctly, you might have said that. Just any comments would be helpful.
Michael Miller: Yes. So, if we look at it on a full year basis and we look at the private regional builders, basically, our business with them in the year was flat. If we look at our business with the production builders and when we say production builders, we mean the public builders, right? Because we can use them and talk about them in a different way because their information is public, right? So, when we're talking about sales with them, we're talking about, again, the public builders, not even a big private builder like David Weekly Homes. So, from the public's perspective, if we look at their homebuilding revenue, right, for the full year, it declined around 6%. And our revenue with them was down around 6%, which is exactly what you would expect. But that, again, was more than offset with the positive -- flat to positive growth that we had with the private builders. So, we feel that we're doing exactly what we're supposed to be doing. We're maintaining share with the publics, the production builders and working closely with them to not just maintain share, but maintain price and maintain profitability and to be there and to be able to support them when there's the inflection, but at the same time, leaning in and focusing very hard on our geographic weightings and our customers that are either growing or are at flat. So, the team is doing an excellent job of identifying where the opportunity is and working hard to maximize the benefits with that.
Kenneth Zener: Really appreciated those comments. Now -- in regards to weather, which isn't something that historically, I think, is such a big deal, the seasonality 1Q from 4Q, it's been kind of all over the place. But if it's historically down, call it, mid-single digits, it sounds like you're expecting worse seasonality just because of the weather patterns we've had. Is that correct?
Michael Miller: Correct.
Operator: Next question comes from the line of Keith Hughes with Truist Securities.
Keith Hughes: I've a question about multifamily. I've seen the government data, too, it shows a rebound -- pretty profound rebound in multifamily. Are we actually seeing that kind of boots on the ground? Is it that good? Or is it more just a bottoming going on?
Michael Miller: Yes, Keith, that's a great question. And I'm really glad you brought it up because we wanted to talk about it. So, we believe based on -- so this is at a macro level, based on the information from the Census Bureau that was delayed a little bit, but that recently came out that multifamily cycle times have basically normalized to kind of pre-COVID, pre-supply side disruptions. And that was really driven by the fact that for the full year, multifamily starts were up like 18% and units under construction were down 13%. So, we believe that the multifamily market is coming into, if you will, equilibrium. There will still be some headwinds. I think in the first half of -- I don't think I know, in the first half of this year. Our team has done, as much as we sing the praises of the heavy commercial business, the reality is that multifamily team across the country and particularly CQ, we call out all the time, have done an incredible job of just outperforming dramatically the market opportunity that exists there. We have a lot of confidence in their ability to continue to do that. I mean their backlogs are growing and they're doing a great job of increasing the complementary product penetration within multifamily. So, yes, I mean, based on the starts for '25 coming into '26 and recognizing that the cycle time for multifamily is much longer than it is for single-family, we think that bodes well for full year '26 on the multifamily side, especially given the easy comps that all of us in the industry are going to be facing as it relates to multifamily. I would say, too, just because we're talking about cycle times, on the single-family side, cycle times are probably the best they've ever been. And I think a lot of the big production builders have talked about how efficient their cycle times are currently. And again, building on some of the comments that we made earlier, when we, again, look at the business and the only part of the business that we were not really confident in is the single-family production builder business, because those cycle times are so tight at the entry level, as soon as there is an inflection, the inflection to our install time is going to be very short. So we're going to feel it very quickly, and we'll scale up for it very quickly, unlike multifamily, right? Because the bid and book time on a project to when we actually do the install can be 12 to 18 months, right? So, this single-family inflection on entry-level production builder side can be pretty meaningful. It will be meaningful when it happens. We just don't know when it's going to happen.
Operator: Next question comes from the line of Collin Verron with Deutsche Bank.
Collin Verron: I was just hoping you can talk about IBP single-family branch sales growth relative to the national market in the fourth quarter and just how and why that might have changed from sort of how IBP performed versus the market in 2Q and 3Q?
Michael Miller: Well, we continue to perform sort of above the market opportunity, I would say, and -- I mean, clearly, and we've talked about this for the past several quarters, we clearly benefit from our regional weighting towards the Midwest and the Northeast. I mean when we look at our single-family revenue and we look at our market share by census region, our largest, highest market share is clearly in the Midwest. And as I think pretty much everybody knows, the Midwest has been doing fairly well on a relative basis to the rest of the country. So, we feel good about the mix that we have. As I think we've said a couple of times, I mean, we're positioned very well with the production builders, entry-level builders once the inflection is there. But until that happens, we're continuing to lean in on our private and semi-custom, custom builders and to kind of work with the advantages -- inherent advantages we have from our regional diversification.
Collin Verron: Great. That's helpful color. And then just really quickly on the commercial performance. I believe you characterized the backlog as healthy. But I was just curious if there's any more finer points you can put on sort of what you're seeing in the backlog in that early part of 2026 here and how much visibility that really gives you?
Michael Miller: It's very healthy. So we feel very good about the business. I mean there's -- right now, it's just -- it's working incredibly well. And to be honest with you, since Brad's here, the team deserves a tremendous amount of the credit, but the leadership that Brad has brought to that team has been phenomenal.
Brad Wheeler: Yes, absolutely.
Michael Miller: And they've really stepped up. I mean it's just -- it's so impressive how well they've stepped up. It's just -- it makes us feel very proud.
Operator: [Operator Instructions] Ladies and gentlemen, we have reached the end of question-and-answer session. I would now like to turn the floor over to Jeff Edwards for closing comments.
Jeffrey Edwards: Thank you for your questions, and I look forward to our next quarterly call. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.